Operator: Good morning, ladies and gentlemen, and welcome to Masco Corporation Second Quarter 2018 Conference Call. My name is Angela and I will be your operator for today's call. As a reminder, today's conference call is being recorded for replay purposes. I will now turn the call over to David Chaika, Vice President, Treasurer and Investor Relations. You may begin.
David Chaika - Masco Corp.: Thank you, Angela, and good morning. Welcome to Masco Corporation's 2018 second quarter conference call. With me today are Keith Allman, President and CEO of Masco; and John Sznewajs, Masco's Vice President and Chief Financial Officer. Second quarter earnings release and the presentation slides that we will refer to today are available on our website under Investor Relations. Following our remarks, we will open the call for analysts' questions. Please limit yourself to one question with one follow-up. If we can't take your question now, please call me directly at 313-792-5500. Our statements today will include our views about our future performance which constitute forward-looking statements. These statements are subject to risk and uncertainties that could cause our actual results to differ materially from the forward-looking statements. We describe these risk and uncertainties in our risk factors and other disclosures in our Form 10-K and our Form 10-Q that we filed with the Securities and Exchange Commission. Our statements will also include non-GAAP financial measures. Our references to operating profit and earnings per share will be as adjusted unless otherwise noted. We reconcile these adjusted measurements to GAAP in our earnings release and presentation slides which are available on our website under Investor Relations. With that, I now turn the call over to Keith.
Keith J. Allman - Masco Corp.: Thank you, Dave. Good morning, everyone, and thank you for joining us today. Please turn to slide 4. We continued our sales momentum in the second quarter. Our top line increased 10% excluding the impact of currency, driven by strong growth in the Plumbing, Decorative Architectural, and Cabinetry segments. Our sales grew 6% excluding the impact of currency, acquisitions and divestitures. Our teams executed well against our plans as we continued to make strategic investments into the business, integrate our Kichler acquisition and implement price across all segments resulting in an operating profit increase of $8 million in the quarter and a 16.5% operating margin. Our EPS increased 21% to $0.75 per share. Before I address our individual segments' performance, let me address the topic of inflation and potential impact of the latest rounds of tariffs, as I know this is top of mind for many of you. As anticipated, we experienced commodity and other inflation across our segments in the second quarter and we continue to work to mitigate the effect of this inflation with disciplined cost control and pricing actions. We implemented price increases across all four segments in the first half of 2018. We believe these pricing actions will offset the commodity and other inflation that we have seen, and we expect our price/cost relationship to be approximately neutral in the second half 2018. If we need to take further pricing actions, we will. As we discussed last quarter, we have not been materially impacted by the steel and aluminum tariffs that have been enacted. While many of the products and components that we source from China would be impacted by this latest round of proposed tariffs, we are confident in our ability to mitigate this potential cost increase, if enacted, with our flexible supply chain and price as needed. Additionally, we feel we are on equal or better footing compared to our competition across our product categories considering our significant domestic manufacturing capabilities in Plumbing and Cabinetry. Now, moving back to this quarter's performance, let me give you some additional insight into the drivers behind each of our segment's performance beginning with Plumbing. Our Plumbing segment continued its consistent top line performance by growing 9% or 6% in local currency. Watkins, Hansgrohe and Delta drove this growth by capitalizing on strong demand across channels and geographies. North American Plumbing grew 6% in local currency. Watkins achieved a record sales quarter due to new product introductions in its dealer channel and strong growth in its retail channel. Delta had another successful quarter with continued momentum in the showroom, retail and e-commerce channels. I'm very pleased that this performance was achieved while also launching a new ERP system at Delta, our largest North American plumbing operation. The ERP launch on May 1 went well, and I'd like to commend and thank the Delta team for their tremendous efforts to make this system launch a success. International Plumbing grew 5% in local currency, driven by Hansgrohe's strong growth in its home market of Germany and continued strength in China. In our Decorative Architectural segment, sales grew 22%. Excluding our acquisition of Kichler Lighting, sales grew 6% with mid-single-digit growth in both DIY and pro. In our coatings business, we continued to execute our plan together with our channel partner, The Home Depot, to drive pro paint sales growth by expanding our pro hub store concept and sales force. The integration of Kichler Lighting is progressing on plan in its first 100-plus days. As a reminder, Kichler is a leading developer of decorative residential and light commercial lighting products, ceiling fans and LED lighting systems across both consumer and professional distribution channels into $6 billion residential lighting market. Decorative lighting has a similar customer base as many of our building products where the purchase decision is based on design, breadth of product offering, quality and reliability of service. We fully expect to leverage our operational capabilities and coordinate our design experience and expertise as we integrate Kichler into Masco to further strengthen our position and profitably grow with our many shared customers. Moving on to Cabinetry, our Cabinetry segment delivered 13% growth excluding the divestiture of Moores. We drove growth in our repair and remodel business across all channels, led by the ramp up of our Menards business as well as strong growth in our dealer channel. The rollout and initial months of the Menards program have gone extremely well, and we are on plan to achieve an $80 million annual sales run rate during the fourth quarter. Turning to Windows, excluding the effect of the Arrow divestiture and foreign currency, sales matched last year. We experienced increased costs and inefficiencies in the segment primarily due to the rightsizing of our UK workforce and an adjustment to our warranty reserve largely due to cost inflation. A portion of these costs will likely continue into the third quarter. Moving to capital allocation, we continued our share repurchase activity in the quarter by repurchasing 3 million shares for $115 million, bringing our year-to-date share repurchase total to $265 million. Based on the strength of our forecasted cash flows and our strong liquidity position, we intend to deploy approximately $200 million toward share repurchases or acquisitions in the second half of 2018. Our Board of Directors also announced its intention to increase our annual dividend by $0.06 per share or 14% beginning in the fourth quarter, reflecting their confidence in our long-term prospects. This is the fifth consecutive year we have increased our dividend. In addition, we further strengthened our balance sheet in the quarter by retiring $114 million in debt that came due in April. Lastly, we're updating our anticipating earnings per share for 2018 to be in the range of $2.48 to $2.55. This adjustment is largely due to the increased cost in our Windows segment that I just discussed. Demand across our product segments and geographies remains robust. I'm very pleased with our performance in the first half of the year and believe we are well positioned to capitalize on this robust demand to drive strong growth and margin expansion in the second half of 2018. Now, I'd like to turn the call over to John who will go over our operational and financial performance in detail. John?
John G. Sznewajs - Masco Corp.: Thank you, Keith, and good morning, everyone. As Dave mentioned, most of my comments will focus on adjusted performance excluding the impact of rationalization charges, inventory step-up related to purchase accounting for the Kichler acquisition and other one-time items. Also, as a reminder, any reference to prior period comparisons have been adjusted to reflect the adoption of the new revenue recognition and pension accounting standards. Please refer to page 19 in the earnings call presentation for the details we provided last quarter. Turning to slide 6, we delivered solid double-digit top line and earnings per share growth in the second quarter. On a reported basis, sales increased 11%, or 10% in local currency. Excluding divestitures and acquisitions, sales increased 7%, or 6% in local currency. Foreign currency translation favorably impacted our second quarter revenue by approximately $29 million. In local currency, North American sales increased 12% in the quarter, or 6% excluding acquisitions and divestitures. We continue to experience strong consumer demand for our industry-leading repair and remodeling products across all channels of distribution and across all price points. As a reminder, repair/remodel activity represents approximately 84% of our total sales. In local currency, international sales matched the second quarter of 2017. Excluding the divestiture of Moores, international sales increased 4%, driven once again by Hansgrohe. Gross margins were 33.6%. As we look ahead to the second half of the year, we expect solid gross margin expansion year-over-year as the price/cost relationship improves and the strategic investments diminish. Our SG&A as a percent of sales improved 100 basis points to 17.1% as we continue to leverage our SG&A while making strategic investments to drive profitable growth. We generated operating profit of $380 million and operating margins of 16.5%. As we discussed on last quarter's call, operating margins were impacted in the second quarter due to strategic growth investments, ERP costs, and a lag in price/cost. We also experienced incremental cost in our Windows segment. These items aggregated approximately $30 million in the quarter. Our EPS was $0.75, an improvement of 21% compared to the second quarter of 2017. And as Keith mentioned, we are narrowing our annual EPS estimate range to $2.48 to $2.55 per share. This lowers the midpoint of our EPS range by $0.04. The principal item that affects this change is the incremental cost in our Windows segment that Keith described. Turning to slide 7, our Plumbing segment experienced another quarter of strong demand and solid growth as sales increased 9%. Excluding the impact of currency and acquisitions, sales increased 5%. This solid performance was driven by growth in our faucet, shower, and spa businesses. Foreign currency translation favorably impacted this segment's sales by approximately $25 million in the quarter. Our North American sales grew 6% in local currency as we experienced strong consumer-driven demand for our industry-leading brands across all channels with growth in wholesale, retail, dealer, and e-commerce customers. As a reminder, the segment experienced approximately $10 million of sales that were pulled forward into Q1 from Q2 due to the implementation of Delta's ERP system. Additionally, our spa business continued to outperform the competition, as Watkins Wellness leveraged its strong dealer network, innovative new products, and industry-leading brands to drive growth. Our international plumbing sales increased 5% in local currency as Hansgrohe's focus on key markets continued to yield results with strong growth in both Germany and China. Turning to segment profitability, operating margins were impacted by a lag in price/cost and strategic growth investments, which include displays. These items aggregate approximately $15 million. Mix also impacted margins largely due to our lower price point Peerless faucet win at retail. As we consider the second half of the year, despite the anticipated $5 million of ERP spend at Delta in the third quarter, we are confident that we will experience margin expansion as our pricing and cost containment actions are realized and our strategic growth investments begin to favorably comp year-over-year. As a reminder, we had $18 million of display and other spending in the second half of 2017. For the full year, we expect operating margins for this segment to be down slightly compared to 2017. Turning to slide 8, the Decorative Architectural Products segment grew 22%. Excluding the acquisition of Kichler, sales grew 6%. This performance was driven by Behr's pro and DIY businesses each growing mid-single digits. Liberty Hardware also contributed to the top line as it continues to achieve strong growth in both its retail and e-commerce channels. Operating income in the second quarter increased 11%, driven by the Kichler acquisition and increased volume, partially offset by higher depreciation and amortization expense from the Kichler acquisition and an unfavorable price/cost relationship. As we look to the second half of 2018, we anticipate continued cost pressure on raw materials for paint and we will work to mitigate this inflation as needed. But for the full year, we expect margins in this segment will be in the upper end of our 16.5% to 18.5% range. Turning to slide 9, in the Cabinetry segment, sales increased 13% in the quarter excluding the impact of the Moores divestiture. This outstanding performance was driven by our industry-leading brands as we experienced double-digit growth in our repair and remodel business and low-single-digit growth in our new home construction business through increased volume and favorable price. The Cardell program at Menards continues to roll out on schedule and we are very pleased with this program's initial performance. Segment profitability increased in the quarter by $2 million, principally due to increased volume and favorable price/cost, partially offset by mix and ramp-up costs related to the Menards win. For the full year, we expect 5% to 7% sales growth excluding the divestiture of Moores with operating margins at approximately 2017 levels. Turning to slide 10, excluding the divestiture of Arrow Fastener, our Windows segment sales grew 2% and matched prior year in local currency. Foreign currency translation favorably impacted this segment's sales by approximately $2 million. This performance was driven by single-digit growth at Milgard due to increased volume, favorable pricing, and a positive mix shift toward our premium window and door products. This was offset by a market softness in the UK. As a reminder, this segment faces a tough comp in the third quarter as segment sales grew 9% in the third quarter of 2017. Segment profitability in the quarter decreased $10 million, driven by actions we took in the UK to further right-size our workforce and inefficiencies in an increased warranty reserve at Milgard. We anticipate approximately $5 million of incremental costs in the third quarter as we address the inefficiencies and launch new products. For the full year, we expect this segment sales growth to be 3% to 5% excluding currency and divestitures, with operating margins down approximately 100 basis points compared to 2017. And turning to slide 11, we ended the quarter with approximately $400 million of balance sheet liquidity as well as full availability on our $750 million revolving credit facility. Working capital as a percent of sales increased 190 basis points versus prior year to 17.1%, largely due to the impact of the Kichler acquisition. For the full year, we expect working capital as a percent of sales to be approximately 15%. We also took further action to strengthen our balance sheet by retiring $114 million of debt in April. During the second quarter, we continued our focus on shareholder value creation by repurchasing 3 million shares valued at approximately $115 million, bringing our year-to-date total to $265 million. With our strong free cash flow, we expect to deploy approximately $200 million in the second half of 2018 in either acquisitions or share buybacks on top of the more than $800 million deployed year-to-date. In addition, expressing confidence in our future, our board announced its intention to raise our annual dividend to $0.48 per share, a 14% increase starting with our Q4 2018 dividend. Lastly, the outlook for the business remains strong. We're seeing solid growth in North America, Europe, and China and we remain confident in our ability to generate more than $800 million in free cash flow in 2018. And with that, I'll turn the call back over to Keith.
Keith J. Allman - Masco Corp.: Thank you, John. I'm pleased with our performance in the first half of 2018. We moved quickly to address the shifting market environment with effective pricing and cost actions. Our Plumbing and Decorative segments continued to drive growth with new products and programs and channel expansions. Our focused efforts in our Cabinetry business has led to strong growth and margin performance, and we have successfully executed on growth investments and a significant ERP launch at Delta. Furthermore, the long-term fundamentals of our industry remain strong. Demographics should drive household formation and housing for years to come as the large millennial generation has begun to start forming households. Home price appreciation, which has a strong correlation with repair and remodel spending, remains strong at nearly 7% year-over-year. Existing home turnover remains at a healthy overall level of 5.3 million units. Age of housing stock continues to increase as 65% of the U.S. housing stock is now over 30 years old and older homes have more repair and remodel spending per home than newer homes. And importantly, consumer confidence remains at a 15-year high, as consumers benefit from a healthy economy. With the actions we have taken and the investments we have made, we are well positioned to capitalize on the favorable industry fundamentals to drive strong growth and margin expansion in the second half of 2018, as we expect to generate over $800 million in free cash flow for the year. We will continue to deploy that cash flow with a disciplined and balanced approach to acquisitions with the right fit and return, share repurchases and dividends to create value for our shareholders. With that, I'll now open up the call for Q&A.
Operator: Your first question is from the line of Stephen Kim with Evercore ISI.
Stephen Kim - Evercore ISI: Thanks very much, guys. Appreciate the time here. I guess if we could just start with your Plumbing business, I think you broke out $15 million in price/cost and also I think ERP within there, perhaps I just want to make sure that we got the components clearly. And in terms of what we could expect in 3Q and 4Q, if you're specifically looking for margins to be up year-over-year in both of those quarters in addition to just the back half.
John G. Sznewajs - Masco Corp.: Hey, Stephen. Good morning. It's John. In terms of the components that I called out, yeah, indeed $15 million as the total breaks out – we did call the ERP spend of about $5 million on our last quarter call, so the balance is roughly our price/cost lag. In terms of what you can expect for Q3 and Q4, if you recall, we have a fair amount of display investment in the third and fourth quarter of last year. So the second half of last year, we had at aggregate about $18 million in total in this segment. So, yes, to your second question, I would say that we would anticipate margin expansion in both the third quarter and fourth quarter in that segment.
Stephen Kim - Evercore ISI: That's good. Great. And then the second question I had was related to your comment about the M&A – acquisition and/or repurchases. Was curious if you could describe what the pipeline is looking like and if there are certain end markets that look particularly promising to you. Could you give us any kind of color as to geographically or in terms of verticals, which areas you're most focused on now given the pipeline?
Keith J. Allman - Masco Corp.: Stephen, our pipeline is healthy and it's diverse. We have opportunities that we're looking at that range from smallish in size and bolt-on, if you will, to existing segments, and we have some larger ones both that would function within the segment as well as looking at some new segments. So we have a broad approach in terms of size. We're also looking both domestically and internationally, and we have the capital in the balance sheet to do these acquisitions, but I'd like to reiterate that we're going to be patient and make sure that we find acquisitions that have the right fit and return that fit with both our strategy and our culture and obviously we're focused on creating shareholder value for the long term. So we're going to remain disciplined and balanced in our approach, and we are going to continue to value our acquisitions with a particular eye on return on invested capital where we can generate appropriate return for the shareholders.
Stephen Kim - Evercore ISI: Would it be fair to say that when you're talking about both bolt-ons as well as maybe ones that are a little bit larger that you'd be willing to go above that $200 million if the right opportunity came along or would you say that that $200 million we should think of as kind of a ceiling?
Keith J. Allman - Masco Corp.: No, I wouldn't think of it as a ceiling given the right opportunity. And again, based on our eye and our patience, it would have to be the right opportunity. But we have, as you know, the quality of a balance sheet to be able to go out over that $200 million level if the right opportunity came.
Stephen Kim - Evercore ISI: Got it. Thanks very much, guys. Appreciate it.
Operator: Your next question is from Susan Maklari with Credit Suisse.
Susan Maklari - Credit Suisse Securities (USA) LLC: Good morning. I just wanted to talk a little bit about the paint segment. You mentioned some unfavorable price/cost that's continuing to be a lag in that part of the business. Can you just kind of give us some sense of how those factors are coming together, your ability to get price there, and maybe within that, some of the expenditures related to the expansion of the hub stores?
John G. Sznewajs - Masco Corp.: Yeah, good morning, Susan. In terms of the input cost of paint, yes (26:50). As I think our other public peers have disclosed, there are continuing headwinds in terms of price/cost affecting both TiO2 and some of the engineered resins that go into paint. And so, as I mentioned in my prepared remarks, we're actively working to mitigate this through both pricing as well as working with our suppliers and working internally on our own efficiencies to try to mitigate those as best we can. In terms of our ongoing investment in expanding our pro business, we're absolutely making further investment as we indicated earlier this year. That said, at this point, we're not disclosing the amount as our channel partner and we have decided to just to say a little less about our investment in that area at this point.
Susan Maklari - Credit Suisse Securities (USA) LLC: Okay. And then certainly in terms of cabinets, you had some really nice performance on the top line and the margin in there. It seems like you're getting some momentum with that dealer investments and some of the other things that you've been doing. I guess can you just give us a little more color on that?
Keith J. Allman - Masco Corp.: Sure, Susan. This started, call it, 12 months to 18 months ago when we really went to work to reconfigure our supply chain and our factories to address the dynamic in the market. So we took our Quality factories, for example, and focused them – Quality, meaning the Quality brand, and focused them on the assembly of incoming purchase materials for the opening price points. So we have a factory that's reduced its complexity and focused on the lower price point part of the market. We then took the Quality brand and the Merillat brand, and we common-ized the architecture. So again, driving simplification and cost reduction to go after, call it, that middle point of the market, and then we have the very efficient and effective KraftMaid brand and supply chain that focuses more on that middle to higher semi-custom. So, a combination of reconfiguring our supply chain so that we have the right level of complexity and cost across the different bandwidths of the market, and then continuing to drive good sales force execution. And I think when you look across – while it's taken some time for us to execute this, when you look at the Menards win that we were able to land, that was really an amplification of our strategy and shows that how we were able to be competitive with regards to low cost opening price point, if you will, stock cabinetry, value semi-custom and semi-custom, so it's starting to pay off and we are going to continue to drive this segment, and obviously with nice dropdowns on the incremental growth, we're upbeat about its potential.
Susan Maklari - Credit Suisse Securities (USA) LLC: Okay, great. Thank you.
Operator: Your next question is from Michael Rehaut with JPMorgan.
Michael Jason Rehaut - JPMorgan Securities LLC: Thanks, good morning, everyone.
Keith J. Allman - Masco Corp.: Good morning.
Michael Jason Rehaut - JPMorgan Securities LLC: The first question I had was on actually a couple of the segments that Susan asked, maybe just in a different light, First, on paint, with DIY and pro both up mid-single digit, I was more interested in pro for the moment. DIY obviously very solid mid-single-digit growth, but pro, I've been thinking about that more as a little bit of a growth category and you kind of consistently pointed to a low-double-digit or a 10% or better type of growth rate. So with the mid-single-digit growth this quarter, I was just curious if you kind of view that as the beginning of an inflection point where perhaps, given the size that it's achieved over the last few years, we should be thinking more about a mid-single-digit type contribution rather than low-double digit or is this more of a one quarter type of pause because we've also kind of thought about this as still a good area of expansion potential over the next two or three years.
Keith J. Allman - Masco Corp.: We're committed to this to driving double-digit growth for the next couple of years in this pro segment, keeping in mind, of course, that it is over $400 million, so it's a sizeable chunk to drive in terms of double-digit growth, but we've seen that our investments in this pro hub concept and expanding our pro sales force works. We're pleased with the growth. I am sure there's going to be some quarters that are more accelerated than others, but we remain committed to the double-digit growth and we're happy with our DIY growth as well. Together with The Home Depot, I think we're doing an outstanding job of converting shoppers to buyers in the aisle. We're generating good traffic with our brand and our advertising scheme, and of course the quality in the can speaks for itself. So, overall, when we look across coatings both against ourselves and the competition, we think we're doing pretty good.
Michael Jason Rehaut - JPMorgan Securities LLC: Okay. That's great. Understandable. Secondly, on the cabinets segment, great growth there and an impressive turnaround, continues to be a great turnaround story over the last couple of years. I was curious in terms of the Menards rollout if that was a contributor to the obviously very strong top line growth this quarter. I know you said that you continued to expect 4Q to recognize that $80 million annualized run rate, but I don't know if there's any – I mean cabinets is more of an inventory business, not sell-in. I don't know if there is any sell-in in advance of that, but if the Menards rollout contributed to the top line. But even outside of that, if you could just talk about the dealer channel with this double-digit growth there or repair/remodel and what are the key drivers that allowed the strong results.
Keith J. Allman - Masco Corp.: Yeah, of course, the Menards win, it was a big win for us and, as I mentioned, being able to showcase the work that we've done over the past year, year and a half in terms of cost competitiveness, assortment expansion, and good sales work, so that is definitely a contributor. But as you mentioned, we had strong growth in our dealer channel as well, and then when you look across demand drivers, we had strong growth in both repair and remodeling and new construction. So it's beginning to come together and it's, as you might imagine, no one action that we took. We've built this and executed this turnaround over a series of actions that included obviously cost-outs. We've driven significant assortment enhancements in terms of launches at both KraftMaid and Merillat, and then the reconfiguring of the supply chain that we did, call it, 18 months ago with regards to focused cost reduction around the various price points along the continuum. So all those things have come together and we're excited about the potential in the business.
Michael Jason Rehaut - JPMorgan Securities LLC: Any further granularity in terms of maybe over the next couple of quarters, should we be expecting at least like a core mid-single-digit growth and obviously Menards could potentially add to that?
Keith J. Allman - Masco Corp.: We're looking for the full year in that 5% to 7% growth range.
Michael Jason Rehaut - JPMorgan Securities LLC: Okay. Great, thank you.
Operator: Your next question comes from Nishu Sood with Deutsche Bank.
Nishu Sood - Deutsche Bank Securities, Inc.: Thank you. So, Keith, appreciate the commentary about the input costs and the tariffs at the beginning. Looking at the guidance reduction, the kind of $0.04 at the midpoint, I imagine a lot of puts and takes going into that that you highlighted or you called out the incremental Decorative Architectural, can you talk about just some of the other puts and takes as well relative to where your expectations were previously? It sounds like in Decorative Architectural the price/cost trends are going a little better than expected perhaps with the high end of your margin guidance range there. In Plumbing, it sounds like perhaps the opposite. So maybe some of the other kind of major puts and takes that went into kind of reconsidering the guidance for this quarter.
Keith J. Allman - Masco Corp.: Yeah, Nishu, when we compare what we thought about at the beginning of the year versus what we're seeing unfold here, there's two primary drivers. One is foreign exchange and two is the Windows headwinds that we experienced. In terms of the Windows headwinds, that impact was about $10 million in Q2 and that was a combination of a significant reduction in workforce that we did in our business in the UK and some warranty expense that we accrued in our Milgard business here in the United States, and we think there will be about $5 million of impact in those areas in Q3. So when you aggregate that, that comes to about $0.04. And then in terms of FX, we're experiencing about $70 million in revenue less favorability than we originally thought we would, and that affects operating profit. So, that accrues to about $0.03. So there's $0.07 right there, but that's the principal difference in terms of what we thought at the beginning of the year and the way we're seeing the year unfold.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. And then on price/cost, does that tell us that price/cost has gone as expected as you kind of anticipated it earlier this year?
John G. Sznewajs - Masco Corp.: Yeah, I'd say it's about as expected. And we always said from the very beginning that it would be a back half kind of a story for this year on price/cost, and that's how it's playing out, Nishu. So I think both Keith and I mentioned in our prepared remarks we expect to be price/cost neutral in the second half of the year.
Nishu Sood - Deutsche Bank Securities, Inc.: Got it. And then on Decorative Architectural, the mid-single-digits growth in DIY kind of tells us that you're still seeing a positive volume growth there. It would seem to be better than the category growth, so obviously a good performance there. You've had that trend in place now for some time. What are the underlying drivers of that? How long can you continue to outperform the DIY category kind of looking ahead?
Keith J. Allman - Masco Corp.: Well, we're certainly expecting that mid-single-digit growth through the year and we're very pleased with the traction we're getting. And it is certainly a partnership with The Home Depot, as I mentioned, to convert traffic in the store to customers. In terms of what's driving that, we have, let's call it, 2,000 points of distribution that's just outstanding and very well managed with The Home Depot. We've got great levels of service. We have a truck going to a distribution center for Home Depot every week and this is the concept of focus in 80/20 on steroids here where we are completely focused on The Home Depot and their customers. So, that efficiency and that level of focus, be it in service levels, in the quality and of course in the brand – leading DIY brand and that is a significant generator of foot traffic and sales. So it's a combination of service, product, quality, brand, outstanding distribution, and an understanding of what the consumer wants and how to make that conversion and taking care of them. So it's definitely a partnership with The Home Depot and Behr, and we expect continued growth.
Operator: As a reminder, please limit yourself to asking one question and one follow-up question during the Q&A session. Your next question is from Mike Dahl with RBC Capital Markets.
Michael Dahl - RBC Capital Markets LLC: Good morning. Thanks for taking my questions.
Keith J. Allman - Masco Corp.: Good morning.
Michael Dahl - RBC Capital Markets LLC: Morning. First question on Decorative, just breaking down the margin performance both in the quarter and then thinking about the guide and some of those comments around price/cost, it actually – it looks to me as if ex Kichler, the legacy business was probably roughly flat in the quarter and just given the guide toward the upper end of that 16.5% to 18.5% range would suggest that potentially flat to even up for the full year on the legacy business. Am I thinking about that the right way or is there something in the Kichler margins that has gone better than expected? Just a little more color on just the difference between those two margin components there would be great.
John G. Sznewajs - Masco Corp.: Yeah, Mike, I think you had some good insights there. One, Kichler's annual margins as we disclosed when we bought the company are in that (40:19) a low-double-digit range and lower obviously than we have been experiencing – the high teens we've been experiencing in that segment. That said, I would say that Kichler is probably doing a little bit better from a margin perspective than we originally had anticipated, but not materially different. So, that helps the margin in the segment just a touch. And with the inflation that we've experienced in paint raw materials and some of the actions we've taken, don't forget that the way that it works for us particularly with paint is we recover price with paint. We recover the commodity cost inflation on that paint. So actually, what that does is tends to contract margins a little bit. So, that has a piece of it. So we do expect kind of modest margin contraction for the full year.
Michael Dahl - RBC Capital Markets LLC: Okay. Got it. That's helpful. My second question just around Plumbing, you're in the midst of the ERP. Could you just give us an update? It seems like guidance items didn't really change as far as the cost, top line looked decent. So it doesn't seem to be that disruptive. But just give us an update on kind of the ERP conversion there and whether there have been any puts and takes around that.
Keith J. Allman - Masco Corp.: Yeah, Mike, I would characterize it as being a little bit further along than as you said in the midst of it. We went live in May. We have obviously been through a couple of closes. We have manufacturing turned on. This was a significant order-to-cash type of system launch. So it was a very significant system that we implemented that involved hundreds of people of that organization and a multitude of change management initiatives and training, et cetera, as we not only implemented the ERP system, but it was a new ERP system. It wasn't a new version of an existing system. So it was a significant endeavor and I think, Mike, you're pointing to a good point, that while it was costly and it was a significant investment, it was very well executed and we're happy with that. We certainly have some efficiencies that we need to continue to drive and we have some business intelligence tools we have yet to turn on. But when you look at the magnitude of this and the success of it, it's been a real big plus. And we also had an upgrade – a significant upgrade to our SAP system at Hansgrohe that we executed in the quarter as well and that went very well. So this is something we put a focus on and doing a better job at, and I am pleased with our performance, particularly at Delta.
Michael Dahl - RBC Capital Markets LLC: Great. Thanks, Keith.
Operator: Your next question is from John Lovallo with Bank of America.
John Lovallo - Bank of America: Hey, guys. Thank you for getting me in here. First question is, I just want to make sure I understand this, the comment about being – price being flush with raw mats in the second half. Is that the case in the third quarter as well or is there just more catch-up in the fourth quarter that's kind of leveling it off for the second half?
John G. Sznewajs - Masco Corp.: John, it's roughly similar quarter to quarter. So not a lot of difference between Q3 and Q4.
John Lovallo - Bank of America: Okay, that's helpful. And then I think last quarter you had mentioned that freight and logistics cost had not really increased that much given your use of standard distribution runs. Did you see any uptick in that in the second quarter?
John G. Sznewajs - Masco Corp.: Yeah, John, we actually have seen a little bit of an uptick in that particularly for more customized products like our Windows products as well as our Cabinetry products where we don't have as standard of runs, let's say, as we may have with Behr paints or with Delta faucets going to some of our common customers. So, yeah, indeed, we have seen a little bit of inflation, but we think we're in a position to work to offset some of that either through price or some of our own internal efficiencies.
John Lovallo - Bank of America: Okay. Thanks, guys.
Operator: Your next question is from Phil Ng with Jefferies.
Philip Ng - Jefferies LLC: Hey, guys. Curious to get your thoughts on the commercial integration of Kichler and how that's ramping up as you leverage some of your distribution.
Keith J. Allman - Masco Corp.: It's going very well. We're on plan. It's been over 100 days. We have executed integration along a number of fronts in terms of treasury, risk management, legal. We are working with the team at Kichler to implement the Masco Operating System. We're going in and grabbing efficiencies as quickly as we can, particularly in areas of logistics and freight consolidation in China with our existing China infrastructure and we've got work to do yet. We have common customers that we think are going to be able to be leveraged to add further value. So, in summary, I'd say that we're on plan for sure. We're on plan with our investment thesis. The cultures are meshing very well. We're getting early wins and we are planning for more longer term wins.
Philip Ng - Jefferies LLC: Got it, and then Keith, you kind of touched upon it in your prepared remarks on the tariffs – potential tariffs I guess in China. Curious what type of impact you kind of envision in your supply chain and how you're going to manage it respectively, and particularly interested on the Kichler side of things since it's a newer business and you do buy a lot of components from Asia. Thanks.
Keith J. Allman - Masco Corp.: I'll state the obvious, but there's a lot of moving parts here and it remains to be seen where it all shakes out, if at all, and to what degree and how it's enacted and the timing and everything else, but it varies as you might expect across our segments. So, in paint, which is a large segment for us, that would have really no impact. Windows has a little bit of impact with some imported hardware, have some impact in Cabinetry with regards to imported plywood and then Plumbing and our decorative hardware and lighting would have the largest impact. In terms of how we handle that, we look at a couple things. Number one, what can we do effectively and quickly with regards to the supply chain to mitigate some of these costs. And then number two, we look at our competitive position. And by and large, we believe that we are on equal or better footing when you look at our competition across our product categories considering what we do in terms of domestic manufacturing in Plumbing and Cabinetry, and then in lighting, really that is a industry-wide value chain as it relates to procuring from China. So in that regard, price is obviously something when you look at our channel service and the strength of our brands, that we would initiate it if needed. But I would reiterate there's a lot of moving parts and we're going to watch and see where this all shakes out. But we feel comfortable in both our competitive position and our ability to stay whole as it relates to cost-outs and price.
Operator: Your next question is from Keith Hughes with SunTrust.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. Questions – or a quick question back in Plumbing, specifically U.S. Plumbing. You had kind of called out generally it sounds like all the channels were good in this period. Just diving the details a little bit more, I know in the past, wholesale has been a big win for you, I think the sector as a whole. Did that trend kind of continue in the second quarter with that being the leader of growth?
Keith J. Allman - Masco Corp.: Yes, it did. Very strong in wholesale and it's been strong for quite a while.
John G. Sznewajs - Masco Corp.: Yeah...
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Why has that been so – go ahead.
John G. Sznewajs - Masco Corp.: I'd say – just reminding you that even though we posted pretty good numbers, that was impacted by the ERP, so that $10 million that was pulled out of Q2 into Q1, don't forget that as well.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: And does that affect the wholesale numbers or is that a retail? Where does that kind of fall?
John G. Sznewajs - Masco Corp.: I think that was fairly broad based across all of our customers.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay, and final question on this. Why has wholesale been so good over these periods you discussed, Keith?
Keith J. Allman - Masco Corp.: I think a lot of it speaks to the work we did on the assortment. So we went in and worked on the opening price point with some targeted launches. We've done a significant amount of work in the showroom aspect of wholesale. So we've had some nice work that we've done on what we call the back end or the counter business and we have also done more on the assisted sale on the front end, and then a lot of our work goes to influencer outreach and marketing programs where you may recall we spent a year or so back some significant capital to build an extension and create a customer experience center, where by design, we bring in our showroom customers to show them the Brizo and the Delta and the product offerings that we have and to work on that customer outreach, and that really creates advocacy. And then you overlay that with our investment that we've made in displays across the showroom continuum where we have not only juiced up the displays in terms of LED lighting and showcasing the product more effectively, we also gained three incremental feet. So it's a combination of all those things around that area of what I would call commercial excellence that is driving the good growth for us.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Operator: Your next question is from Stephen East with Wells Fargo.
Stephen East - Wells Fargo Securities LLC: Thank you and good morning, guys. Congratulations in a pretty tough environment that we're seeing. Keith, in early May, you talked about being flush with price/cost by the end of the second quarter and you all still feel that way. Could you talk about a few things? One, could you – the assumptions that you have for your various major raw materials as you look through the back half of the year, and it sounds like in paint, you might not be flush in the second half, offset it with being better than flush in some of your other businesses. Is that the right way to think about that? And then finally, on the raw materials, sort of the lag time from when you get a cost announcement to when that actually is typically flowing through your income statement?
Keith J. Allman - Masco Corp.: Probably the best way to break your question down, Stephen, is to think in terms of some of our different segments. So if you look at Plumbing, big driver there is copper and zinc. And if you look at, say, June as a point of view from June 2018 to June 2017, you've seen about a 12% increase from about $2.70 up to $3 for copper. Now, while that has dipped down a little bit more of late, that's been a significant cost driver. And then zinc, again over the last year, has gone from about $1.25 to $1.35. So, that's about a 7% increase, and again we've seen that dip a little bit in the last month, but those are still healthy increases. So, that's the driver in the Plumbing segment. When you look at our coatings business, it's really about resin and TiO2, and we've seen TiO2 go up kind of the same as copper, about 12%, if you look at it from June of 2018 to June of 2017. And then in resins, we've seen it go up to almost $0.85 a pound now. So, that's a significant increase. And what we're seeing is probably going to be a little bit more pressure in resins as we look to the back half. So, that's the primary driver in coatings. And then we use hardwood – obviously hardwood lumber and plywood, and again that's gone up coincidentally right about in that 12% range. So, pretty broad-based commodities pressure that we've experienced and that's the way we've attacked it with both cost and price, as we mentioned, getting price across all four segments.
Stephen East - Wells Fargo Securities LLC: Got you. All right. And then as you look at your lag time, how long from when you get that announcement that it flows through? And then the other question I just had is your capital allocation, you've already bumped it up through 2019 to $1.7 billion. I'm wondering how far into it you are with that and any thoughts or indications whether you bump that any further?
Keith J. Allman - Masco Corp.: In terms of the lead time on the price – and John, I'll let you take the capital allocation question – it really varies by segment, and a lot of it depends on the inventory. So you could imagine, I'm sure, with a China supply chain where we may be FOB the ship at the port that we would have a longer time before we could actually get price into our P&L, and in some cases, it's more cyclical as it relates to price books and when the price books come out. And then in more direct business that's off sheet, we could get that right away. So it's a variable – it varies. It could be one to two quarters depending on the commodity and the supply chain that we're talking about. John, do you want to touch on capital?
John G. Sznewajs - Masco Corp.: Yeah, sure. Stephen, in terms of capital allocation, you're right. As we outlined at our Investor Day last year, we had a pretty healthy $1.7 billion that we updated after tax reform. And I think one of the things that we've gotten more comfortable with over the course of the last couple of quarters is perhaps operating with lower levels of cash on the balance sheet. And so, could there be more capital than the $1.7 billion that we indicated in May of last year deployed through that three-year window? Yeah, I think there's a possibility that that does exist. How much more? It's tough to say. I mean we'll have to see what plays out for us both in terms of where does the share price go as well as where do acquisition candidates emerge. And so, that's something still out in the future a little bit.
Operator: And our last question comes from Justin Speer with Zelman Associates.
Justin Andrew Speer - Zelman Partners LLC: Good morning. Thank you, guys.
Keith J. Allman - Masco Corp.: Good morning, Justin.
Justin Andrew Speer - Zelman Partners LLC: I'd like to ask a quick question on the Windows business. Just some color on the size of those pieces that you mentioned. What's one-time, what's ongoing, and particularly as you look to 2019 or maybe the intermediate term what the right margin is for this business?
Keith J. Allman - Masco Corp.: We had about a $10 million headwind in this quarter. We think it will be about $5 million next quarter as we work through some of those inefficiencies we talked about over in the UK in particular. In terms of long term, for the year, we're looking at 3% to 5% growth in the top line.
Justin Andrew Speer - Zelman Partners LLC: Well, I'm thinking more like on those pieces that you mentioned, you mentioned a warranty piece, then you mentioned UK workforce. I was just curious how those pieces – as we think to next year in particular, what repeats and what doesn't, and what the right – with these restructuring moves, what the right margin structure is for that piece of the business.
John G. Sznewajs - Masco Corp.: Yeah, sure. Justin, so like you might expect, the UK piece is kind of one-time in nature as we work through some of the restructuring activities and that should not be recurring. In terms of the warranty piece, that's one of those things that we evaluate our warranty from time to time, and you have to make adjustments to all your judgment-based accounts whether it's warranty or whether it's accounts receivable or whether it's inventory, whatever, so from time to time into it. The principal reason that drove this quarter's adjustment was some of the inflation that we are experiencing with respect to some of the warranty costs that were coming in. Longer term, I guess to the nature, the heart of your question, in terms of where do we expect margins to be, at this point, it really doesn't change our view that long term and again long term is not next quarter or the first quarter of next year, but long term the margins for this quarter should be in that low-double digit to low-teens, that 10% to 13% range that we called out at our Investor Day in May of last year.
Justin Andrew Speer - Zelman Partners LLC: And then lastly for me just a follow-up question on cabinets. How much benefit from Menards in the quarter and then did you provide a back half organic growth figure for the Plumbing business in your guidance?
John G. Sznewajs - Masco Corp.: No, I don't think we provided a back half. I think all we said is for a full year of 5% to 7% excluding the divestiture of Moores.
Justin Andrew Speer - Zelman Partners LLC: Okay. And then on the cabinets piece, just thinking about the Menards contribution in the quarter, obviously that helped, but we don't know how much. Do you have any context there for us?
John G. Sznewajs - Masco Corp.: We haven't disclosed that to this point. Yeah, we don't intend to disclose it at this time.
Justin Andrew Speer - Zelman Partners LLC: Thank you, guys. Really appreciate it.
Operator: And this does conclude today's conference. You may now disconnect.